Operator: Good day, everyone, and welcome to Banco Santander Mexico’s Second Quarter 2021 Earnings Conference Call. Today’s call is being recorded. Following the speakers’ remarks, there will be a question-and-answer session. I’d now like to turn conference over to Mr. Héctor Chávez, Managing Director and Head of Investor Relations, who will make some opening remarks and introduce today’s other speakers. Please go ahead.
Héctor Chávez: Thank you. Good day and welcome to our second quarter 2021 earnings conference call. We appreciate everyone’s participation today. By now you should have access to our earnings press release and the presentation for today’s call, both of which were distributed yesterday after the close of the market close and can be found on our Investor Relations website. Presenting on our call today will be Didier Mena, our CFO, as well as Rodrigo Brand, Executive General Director of Public Affairs. Before we begin our formal remarks, allow me to remind you that certain statements made during the course of the discussion may constitute forward-looking statements which are based on management’s current expectations and beliefs, and are subject to a number of risks and uncertainties, including the COVID-19 pandemic, that could cause actual results to materially differ, including factors that could be beyond the company’s control. For an explanation of these risks, please refer to our filings with the SEC and the Mexican Stock Exchange. Didier, please go ahead.
Didier Mena: Thank you, Hector. Good morning, everyone, and good afternoon to those of you participating from Europe. I hope you and your families are managing to stay healthy and safe. While the pandemic continues to weigh on our results, and there is a third wave starting to impact in Mexico our results this quarter improved significantly both year-over-year and sequentially as provisions have started to normalize. Further, we continue to make progress on our strategic priority, while maintaining a strong balance sheet and liquidity position. Loan volumes still reflect difficult year-on-year comps, mainly in commercial loans, in line with market trends and soft demand conditions. However, mortgages and other loans continued to perform extremely well, along with government loans, as we continue to grow our top market and gain market share while maintaining conservative origination standards. Although consumer and SME loans remain soft, we have started seeing a gradual sequential pickup in credit cards and mid-market loan demand. In line with improving macroeconomic conditions, our prudent risk appetite has grown in profitable segments, such as credit cards and SMEs, but the approach remains prudent. We’re confident that loan demand can continue to grow gradually during the second half of the year, supported by the economy’s recovery. Deposits also reflect difficult year-on-year comps, mainly in corporates as their liquidity needs have normalized compared with year account levels. In addition, high liquidity has allowed us to focus on improving our deposit mix by favoring demand deposit over term deposits. Both our individual and corporate demand deposits continue expanding at high single digits year-on-year, underscoring the success of our loyalty and customer acquisition strategies and our focus on lowering our cost of funds. In terms of asset quality, NPLs continue falling from their fourth quarter of last year peak, a result of improving economic conditions in the country. With regards to provisions, we are approaching a normalized level. In May, one of the corporates on the restructuring that we mentioned last quarter paid down its complete exposure with us, while the other corporates were successfully restructured. With this, our cost of risk has declined to the lowest level in the last 12 months, and we expect it to continue converging gradually to its pre pandemic levels. Before moving on to the review more of our performance in the quarter, please note that on June 8, our parent company announced a change in the conditions of the tender offer to acquire the 8.3% of outstanding shares that it doesn’t currently own in Santander Mexico. Santander group, after receiving regulatory approvals will proceed with a voluntary tender offer. Given the timing of approval is uncertain, there is no formal date to launch the tender offer. For information about the pending offer, please refer to Banco Santander’s press release that was issued on June 8. Moving on to Slide 4. The charts show the continuous improvement in GDP expectations, which are based on prospects for solid economic performance in the U.S., coupled with a gradual recovery in domestic demand. In terms of job creation, June was the sixth consecutive month with employment increases. However, progress has not been enough to date to recover jobs lost during the pandemic. Four out of 10 jobs lost have yet to be recovered. Population mobility has also been increasing consistently after falling in January due to the spike in COVID cases reaching its mobility highest point in June. Although the vaccination program is evolving favorably contributing to a recovery of economic activity, the recent spike in contagious post a risk of a slowdown in the near term. Given current economic conditions, inflation could temporarily remain high and above Banco de Mexico’s target range with forecast inflation of 5% for 2021, with the Central Bank increasing the reference rates by 75 basis points to 5% by year-end. The combination of a rebound in economic growth along a gradual recovery in employment seems to indicate that the worst is behind us. We’re cautiously optimistic about the outlook for the second half of the year, and we are well positioned to contribute to the turnaround of the economy, supporting our customers as low demand strengthens going forward. On Slide 5, you can see that the system loan volumes remain stagnant at a level similar to the past two quarters and contracting 7% year-over-year. The decline was mainly driven by commercial loans, mainly corporates, which had not showed recovery signs and still have difficult comps year-over-year. On the positive side, consumer loans have started to show a marginal recovery on a sequential basis, hand-in-hand with economies rebound. System deposits weakened growing only 0.6% year-over-year with demand deposit growth slowing to 9% year-on-year. Please turn to Slide 6, where we would like to give you an update on our growth strategy. Our strategic priority remains the same, become the best bank for customer experience in Mexico, leveraging the latest digital tools and improving processes to accelerate our technological transformation, while we continue positioning the bank as a market leader in value-added products that attract loyal clients. In line with Santander Group’s strategy, we’re working on the transformation of the bank’s payments assets through PagoNxt. As part of this initiative, we relaunched our merchant business through Getnet Mexico, bringing best-in-class service to our customers and access to new payment solutions developed globally with the aim of providing the best payment solutions in the country. Currently, Getnet Mexico is the second largest merchant in POS and affiliations, but we’re still served in a number of transactions processed through our acquired businesses. Accordingly, we are developing new solutions to increase acceptance of the nonpresent car channel adapting to the new normality and expecting to become the second most relevant player by year-end. As an issuer of credit cards, we will launch a new product shortly, about which I will give more details in a moment. In addition, we recently announced a new alliance with Samsung to offer a unique financial digital ecosystem through an electronic wallet that Samsung users can access through their phones. This means that from now on, our Santander wallet will be pre-charged – a pre-charged wallet in old Samsung mobile. With this partnership, the 40 million current Samsung users can have access to this product, which will help promote the adoption of technology, reduce the use of cash and achieve higher level of financial inclusion in the country. In addition, we will be offering via this digital wallet, all Santander banking services, such as insurance, financing, payments, among others. It is worth mentioning that Samsung is the biggest seller of mobile phones in Mexico with more than 30% market share. Digital conversion is crucial to our goal of seamlessly serving customers anytime and anywhere and becoming a more customer-focused bank. Currently, Santander has been the bank with the highest growth in digital customers to date among comparable peers, reaching more than five million digital clients as of June, expanding by 11% year-over-year. Progress on this front is very important for us, with digital sales representing 50% of total sales, up from 36% a year ago. Our focus on secure lending, particularly in mortgages and other loans, showing excellent results. These products are strategic for us to turn potential to attract and retain loyal customers. In other loans, we’re expanding our business, both organically and rapidly, achieving close to 9% market share as of May and growing the portfolio three times compared to a year ago. These results are fueled by our alliances with leading automakers, the most recent addition being Honda, which is producing excellent results together with the alliances that we already had with Nasdaq, Suzuki, Peugeot and Tesla, among others. We’re now the fourth player in the market, moving up from sixth place in the last 12 months, originating a monthly average of around MXN 1.8 billion. If this trend continues, we expect to move up the ranking and be among the top three players within the next 12 months. Our medium-term goal is to reach our natural market share of 13% to 13.5%. In mortgages, we’re also very proud of our performance as our originations grew by 126% year-over-year. This result reflects the success of our products in Hipoteca Plus and Hipoteca Free, our Hipoteca online platform and the redesign of the customer’s journey that has eliminated significant pain points in the process. These strong results support our position as one of the top mortgage originators in the market, having achieved the highest absolute growth in the market during the last 12 months. The increase in the individual loans market share of 76 basis points year-over-year was supported mainly by our excellent performance on mortgage and other loans, which help us expand our retail exposure. In terms of deposits, the share of our individual deposits to total demand deposits increased by 350 basis points over the last three years to 33.8%, in line with our strategy of attracting more retail customers. This brings us closer to our medium-term goal of achieving a more balanced deposit mix in line with the best-in-class peers. This better mix is contributing to lower funding cost over time. In addition, our discipline and profitability focus on pricing corporate demand deposits has allowed us to be one of the banks that has lowered its cost of deposits the most compared to the system and main peers. Turning to Slide 7. Total loans contracted 5% year-over-year, in line with the system and remaining almost flat sequentially, reflecting the solid performance shown in the retail portfolio and offset by still difficult comparison base of the commercial book. As I mentioned before, we expect to see an improving trend from now on as these difficult comparisons will start to weigh less in our loan portfolio and commercial loan demand strengthens, in line with expected macroeconomic activity during the second half of the year. Also, driven by the expected improvement in the economic environment, which would start to see a gradual pickup in higher-margin segments, such as credit cards, consumer and SME loans, all while keeping an eye on maintaining sound asset quality. On Slide 8, you can see that individual loans are growing close to 10% year-on-year on the back of mortgages and other loans, while credit cards and personal loans remain weak. As I mentioned earlier, mortgages not only have proven defensive during the pandemic. Our mortgage loans grew over 19% year-on-year organically. During the second quarter, around 57% of originations came from our Hipoteca Plus product, which helps drive cross-selling for the products as well as build customer loyalty. Our digital onboarding platform for mortgages Hipoteca Online has been key during the pandemic as it helps to streamline processes and eliminate the need to visit any branch. During the second quarter, 96% of our mortgages were processed through this digital platform. In contrast, credit cards, personal and payroll loans posted negative performance affected by weak demand conditions. However, we expect a gradual recovery in the coming quarters as it seems we have left a negative impact of the pandemic behind us due to an improvement in the macroeconomic conditions. In June, credit card usage grew 35% [ph] year-on-year. With this encouraging performance and the launch of a new credit card offer, we anticipate seeing the start of a sequential growth in credit card balances going forward. Let me elaborate on this new card, for which we have high expectations. In the next few weeks, we will launch a unique credit card in Mexico designed by listening to our customers. This innovative product includes enhanced security features, a digital and integrated experience, zero annual fees and the possibility of accessing benefits and insurance coverage that is temporary and customized for each customer who only pays for the benefits they choose. In terms of security and a digital experience, our new card would be issued 100% digital with a dynamic digital security code to protect our clients, while the physical card will not have numbers nor a security code to help prevent exposing the customers’ personal data. With these and other security features, it will be the safest card in the market. With regard to personalization, the customer will be able to choose benefits, services, insurance and assistance that are completely tailored to their personal needs. And innovative features that I like the most is that customers will be able to personalize their card, which is linked to a social responsibility aid organization so that every time they use it they will be supporting on a specific cost. So these new payments and credit value offer, we’re confident we will acquire a significant number of new customers, allowing us to grow steadily and organically in this market segment and without forgoing our prudent risk management. Turning to Slide 9. Growth in loyal and digital customers continue demonstrating solid progress in this key area for our strategy, achieving year-on-year increases of 13% and 11%, respectively. We have maintained our focus on digital conversion, while increasing digital transactions and sales. This quarter, product sales via digital channels accounted for 50% of total sales, a significant increase compared to 36% in June of last year. Digital monetary transactions also had a sharp increase, reaching 42% of our total, with mobile transactions accounting for 96% of total digital transactions. In addition, mobile clients grew 14% over the past 12 months to over 4.8 million, driven by our campaigns and incentives through digital channels. As shown on the Slide 10, commercial loans decreased 14% year-on-year, still reflecting the exceptionally high comps of last year when corporate and mid-market loans increased significantly in the first two quarters of 2020. Last year, company drew under committed lines of credit in the face of uncertainty caused by the pandemic. Loans to government and financial entities increased 4.4% year-on-year but decreased 6.5% on a sequential basis. Large corporates and mid-market companies registered notable year-on-year contractions, although mid-market companies grew 2% sequentially, signaling a turning point that we expect can be maintained, supported by a stronger economy. Worth mentioning that the contribution of corporates to the commercial portfolio decline was close to 60%. SME loans registered the eighth consecutive quarter contraction as this segment has been the most affected by the pandemic. Nevertheless, we expect to see better performance in the second half of this year as we are gradually becoming more confident about a healthy recovery in this segment as economic conditions improve. In fact, June and July have started to show some signs of improvement as balances have increased slightly. Moving on to funding on Slide 11. Total deposits decreased 3% year-on-year, reflecting initially high comps in the second part of last year, where corporates continue drawing their credit lines and left that liquidity on the bank’s balance sheet. As in previous quarters, there was a shift between demand and time deposits due to lower interest rates that favor the former and our efforts to improve our funding mix. Demand deposit growth from individuals reached 9% year-over-year, supported by our ongoing efforts to attract this type of deposits. As a result of these efforts, we have been able to reduce the cost of our demand deposits by 56 basis points year-on-year beating the markets decrease. Although we’re satisfied with this result, we continue working to further reduce our cost level as we make additional headway toward improving our deposit mix, while lowering the cost of our commercial deposits as well, supported by the bank’s strategy focused on prioritizing individual deposits and foregoing certain expensive corporate deposits. Turning to Slide 12. We have maintained very strong capital and liquidity positions. Our liquidity coverage ratio stands at 316% representing a substantial buffer and well above the regulatory thresholds. Our net loans to deposits ratio was below 90% for the third consecutive quarter, reflecting our strong structural liquidity position. We also remain very comfortable with our debt profile, given manageable debt maturities. Our capitalization ratio increased to 18.99%, while our core equity Tier 1 ratio increased 261 basis points to 14.25%. As you can see on the Slide 13, our NIM increased four basis points to 4.52% [ph] for the quarter, reflecting a combination of lower contribution of loans to yielding assets and lower deposit costs. Please turn to Slide 14. Net commissions and fees increased 6% year-on-year, supported by a solid performance in credit cards, which expanded by 15% year-on-year as the economy reopened, combined with solid performance in insurance and cash management fees, which grew above 7% on a yearly basis. Turning to Slide 15. Gross operating income declined almost 10% year-on-year due to a more normalized result in market-related income, which declined 75%, reflecting the extraordinary gains in the second quarter of last year, partially offset by a solid increase in net commissions and fees. Taking a closer look into the components net interest income is slightly higher this quarter, both year-on-year and sequentially, showing how resilient the business has been during the pandemic. Moving on to asset quality on Slide 16, you can see that our NPL ratio decreased four basis points sequentially to 2.87%. Year-on-year, the NPL ratio rose 36 basis points, still reflecting the impact of the pandemic but remains below its fourth quarter of last year peak. Going forward, we expect that NPLs should remain or little bit of slightly lower than the current levels as we start to grow the loan portfolio. Provisions in the quarter declined 28% sequentially and 39% year-on-year reflecting easier comps as we had higher charge-offs last quarter, owing to some corporates which have difficulties making their payments and to the additional provisions we made in the second quarter of last year to face the pandemic. As mentioned earlier, the restructuring of these loans evolved positively, taking our cost of risk to 2.75%, a 39 basis points year-on-year decrease and started to converge to pre -pandemic levels that were in the neighborhood of 2.6% to 2.7%. Looking forward, we anticipate cost of risks to remain stable with a gradual downward trend in coming quarters. Turning to costs on a Slide 17, administrative and promotional expenses rose 4% year-on-year below inflation. This was mainly driven by higher personnel expenses as well as those related to IT as we remain focused on digitalization of services and reinforcing our cybersecurity tools among other ongoing technology investments. Increase in personnel expenses is explained by the reinforcement of certain critical business units such as auto, IT and cybersecurity, and it was partially compensated by lower expenses in supplies, maintenance and stationery due to the new working environment that we are all facing. This was partially offset by lower administrative expenses and impact related costs, the combination of a contraction in gross operating income and an increase in administrative and promotional expenses, results in a deterioration of efficiency ratio that stands now at 47.6%. We’re optimistic on the dynamics of the business that will result in a slight improvement in the ratio going forward. Turning to profitability on Slide 18. Net income increased 11% year-on-year to MXN 2.7 billion mainly due to lower provisions, stable NII, solid growth in fees and straight cost discipline. Return on average equity was 11.8%, three basis points below the year ago level. If we had the same capital ratio as of last year, ROE would have been 101 basis points higher. We’re accumulating capital to regulators recommendation to limit the payout of 2019 and 2020 earnings. Before going into Q&A session, let me share with you some closing remarks in a still challenging, but now improving economic environment we continue executing our strategy with focus and discipline, keeping our ambition intact in becoming the best bank for customer experience in Mexico. We continue winning and securing clients through true innovation, our market leading digitalization that allow us to significantly enhance the breath and value for products and digital offerings well better leveraging, our distribution network and attracting lower cost individual deposits at a solid pace. At the same time, we remain focused on the strengthening loyalty among active customers with a multi-tranche approach that consists of cross-selling ever improving service quality and rising satisfaction levels. We do these by leveraging our new big tools and methodologies and by the enhancing our internal operating processes. In the aggregate consistent execution of these strategic niche measures is building a stronger franchise to effectively address the challenges and seize the growing opportunities ahead of us. This concludes our remarks. We’re now ready to take your questions. Operator, please open the call for the Q&A session. 
Operator: [Operator Instructions] Thank you. Our first question comes from Jason Mollin with Scotiabank. Please go ahead.
Jason Mollin: Hello everyone. Thanks for the opportunity to ask questions. My first question is really on the client strategy and some details and showed that your loyal client base has increased about 13% year-on-year and that these loyal clients represent about 40% of total clients. And that that’s up from last year’s 35% pretty good improvement. We did see when we make that calculation that total customers were down a couple percent year-on-year. So, can you just provide us a little, even more color on how the strategy has been working over the last years? I mean, it seems in terms of loyal clients, are you letting clients go, are these clients from other banks in the typical segments. And maybe as the second part of the question, if you can talk about expanding the pie in Mexico and going down market into those who are under-banked or less banked? And my second question is just on the outlook for the second half of the year. If you can provide any kind of guidance, if the trends that we’ve been seeing, clearly there’s a lot of uncertainty, but what you’re expecting going forward? Thank you.
Didier Mena: Hi, Jason, good to hear you. Regarding the dynamics that we see in our loyal client base, as you rightly point out, we have been growing steadily and consistently. You might recall that we launched our loyalty program in May of 20 16, five years ago, and it continues to get traction. Also, as you rightly point out there was a contractual inactive clients that they – it was mainly a due to the payroll accounts that we lost as a consequence of job losses due to dependent. So it’s not that – we’re losing these clients to other banks, but the fact that at least in the payroll business, there was a contraction due to the pandemic. We continue to enhance our loyalty programs, as I made reference to earlier the Hipoteca Plus program is critical to attracting and retaining the loyal clients. The Hipoteca Plus has build team and scheme, which if the client starts or stops using different products and services, then the interest rate of the mortgage goes up automatically. So it’s a fully considered, the behavior of the client. So, clients have received quite well. I would say enhance the product offering and the benefits that it brings to them. We will continue to leverage not only Hipoteca Plus, but also in other loans there’s recent focus in cross-selling, in accelerating the delivery or the offering of different products and services that the bank has more than just auto loans. I think that you touched a very critical issue in regards to the Mexican banking sector that it’s about expanding the pie, and I think that if we do an honest reflection, I think that banks have focused more on those clients that already have banking needs that probably more on the medium-to-high end of the income segment rather than looking closely at the needs and how to solve the needs of low-income individuals in Mexico. But if you look at the demographics in Mexico, the vast majority of Mexicans are low-income individuals So, if we want to be or continue being a successful bank in Mexico, we need to deliver a better product offering and services to low-income individuals. Over the last few weeks, we have appointed Norma Castro that is – she is responsible for our financial inclusion initiative TUIIO to look at the low-income individuals, product offering so that we can understand better those needs and think creatively in solving those needs. I think that there is – one of the few benefits of the pandemic is the fact that there is some higher digital adoption. So I think that even low-income individuals, as we are seeing in TUIIO are adapting to these circumstances and being more comfortable reducing digital channels. So, I think that this is – this should be different to what we have done in the past as a system. Some of the alternatives that we are looking at, if you follow Santander Chile they launched a program into low-income individuals call Santander Life. That is working quite well, growing very nicely. And it’s tailor-made for this segment. They’re relying heavily on digital channels rather than using the branch network. So we need to look at those types of solutions. And this is – this has been relatively – we launched this relatively soon. So it’s still in I would say pre working space. But this is something that we will focus over the next years, as this is critical to the success of Santander Mexico in the medium to long-term. Now about the outlook for the sector. We are, as reinforced in my remarks earlier, were slightly more positive than what we were in the last few quarters. If you recall at the beginning of the year, we were looking at loan growth in the base case close to flat or be slightly marginal increase or decrease, okay? Now if the trend that we are seeing of the first two quarters continues, we expect that loan growth could be around 4% to 5%. There is obviously very different dynamics within individuals and within commercial loans. We have a very strong growth in mortgages and auto loans and consumer loans, at double-digit rates, okay? And we expect that to continue. So probably individuals will grow at high single digits. And commercial loans, we’re seeing some progress in mid-market companies on a sequential basis. SMEs we think that we reached the bottom. We are in probably in deflection point. And I think that the corporate have normalized more their demand. So I think that with this, commercial loans could be growing at low single digits, and therefore, the total loan portfolio, around 4% to 5%, okay. We think that we – with this trends, we should continue grow in market share in individual loans. And it’s not – to me, it’s not that clear if we would be flat or slightly lose some market share in commercial loans. Okay. We are not that concerned on that regard. In terms of deposits, I think that I would expect a more normalized growth, we probably one of the big differences and how the banking sector has performed in this crisis relative to the prior ones, is that in the prior ones, there was always a contraction in deposits and most likely at the beginning of the crisis. And we haven’t seen this – this been a very different crisis. And the households and individuals have built up their savings as a consequence of the restrictions that we have all faced. So – and I think that sometime this – this will change as we are already seeing that the – at some point, we had double-digit growth in deposits. Now the combination of more normalized activity, along with the decrease in interest rates that we saw or we have seen over the last 12 months that is contributing to the decline in term deposits. I think that will make deposits to have, in my opinion, slight contraction, with a positive change in the deposit mix. As you can see in our results, demand deposits are growing their contribution to total deposits. And I think that, they continued over the next few quarters. So those will be my answers to Jason.
Jason Mollin: Very helpful. I mean, I think definitely we’ve seen that the strategy on lowering funding costs paying off here, maybe just a question on the loyal customers. And you do give us the definition that its clients with a non-zero balance. And depending on the segment between two and four products and between three and 10 transactions in the last 90 days, are those clients still, I mean, that’s something, you talked about back in 2016 as you referenced that loyal clients are four times or about four times more profitable than non-loyal clients. So is that still the same? Is that still kind of the same metric? Do you still think of it that way? 
Didier Mena: I think that it has been, we mentioned that it was three to four times more profitable, and now it’s closer to three times because of the following dynamic. Given the fact that we have attracted the, payroll accounts and, I would say its transactionality, those types of products are less profitable. It is critical for us, to incentivize those clients, to use credit cards, to use – to have other loans and, to use mainly our credit related province, which are the ones that command higher profitability. So that when you look at the entire loyal customer base, what we see relative to what we had in 2016 is a lower usage of credit-related products. That has created a no work; let’s say profitability for a loyal customer, but in my opinion, that’s temporary. Because once we have a loyal customer, once which is satisfied with, how we are servicing them. Then we have the possibility of offering more, more products and services, and we consider, we’re confident that the profitability will follow.
Jason Mollin: Fantastic. It looks like these strategies you implemented years ago really are, are paying off. Thanks for the answers and comments.
Operator: The next question comes from Alonso Garcia with Credit Suisse. Please go ahead.
Alonso Garcia: Good morning, everyone. And thank you for taking my question. I actually have two questions on asset quality. First, if you could comment on the dynamics in the commercial segment, I mean, we all some deterioration sorry, some improvement in consumer and mortgages, but some deterioration is there in commercial. So, I mean, I want to know, if this something company specific or is it something broader and related to a certain industry? And in that sense, how do you think asset quality in this segment will evolve in the coming quarters? And my second question is on the NPL coverage. It is right now at the 118%, which is below the preponderance levels of around 130%. I understand that – not something that you are actively managed and instead is an outfit, but do you have any views on this? Do you think this implies in limited room for cost of risk to improve further. And instead, maybe increase from here? Thank you.
Didier Mena: Hey, Hi Alonso. In terms of a asset quality, I think that is, is the company or clients specific, and we see a positive trend, with some of the clients that they had, some problems as a consequence of the pandemic that we’re – to structure, some clients actually paid their exposure in food and over the last few months so we were positive about the dynamics in the commercial loan portfolio. Obviously, when you compare year-on-year, you had clearly some deterioration, okay? Now regarding NPLs, I think that when you look at charge offs and you compare charge offs, of this year relative to last year’s. It’s been close to 35% increase in the, the charge offs that we do on a quarterly basis. Okay. So that, in my opinion, will make that our coverage ratio will slightly improve over the next few quarters, you’ll see as this – the impact of the pandemic flows through time.
Alonso Garcia: Thank you. And sorry, I think you mentioned the COVID. Could you please repeat your guidance for focus of risk for the coming quarters?
Didier Mena: I think that, it should be pretty much in line to what we have right now or slightly below that. 
Alonso Garcia: Okay. Thank you very much.
Operator: [Operator Instructions] The next question comes from Yuri Fernandes with JPMorgan. Please go ahead.
Yuri Fernandes: Good morning. So you mentioned a lot of good things right on loyal clients, like mix towards consumer, auto loans. I have just a question regarding the profitability, right? Like I remember when you had your investment plan back in 2017, 2018, one of the main reasons was to focus more in retail, make the bank more fee-based and improve the ROE’s, right?. I remember you have a, goal to kind of close a little bit, the profitability gap versus peers and we had COVID right. So I guess we are seeing the operating trends there on, the mix. We are seeing that in the loyal clients, but we are still not seeing, the ROEs improving, moving closer to the peers. So my question is when should we start to see on all like this profitability of the bank improving? And what is the level of ROE, you are seeing for the bank? because I’m remembering the fact you, were – you’re talking about like high teens ROEs but rates were much higher, right? And with this new outlook for rates, what should be like this new best guess for your midterm ROE. Thank you
Didier Mena: Hi, Yuri, first, I think that we have a challenge in terms of looking at the ROEs in the pandemic era. Okay. And then let me expand that a little bit, as how we see it in terms of relative performance to our peers. So I think that when you look at the, in 2019 and you look at, let’s say our net income market share, it was pretty much in line to our natural market share, close to 13.8%. Now last year, main peers had a very different approach to provisions. That is the – in my opinion the most relevant factor that explains the different performance that we have had relative to our peers. Just to give you some data about how different these provisioning performance has been for at least the four largest banks in the system.  So we did an analysis in which we take the average monthly provisions for 2019, for 2020 and for 2021. We did the average for that. We estimated the standard deviation and we divided the standard deviation over the average, just to see – pay to normalize. Let’s say the analysis. With data, with this data, our numbers are the ones that probably the less, okay? That’s this variation efficiency is that 39% BBVA is at 62%, Citibanamex at 66% and Banorte at 79%. So this tells you that, we have been more consistent in terms of how we provision. Last year we – our peers, over provisioning, some of you were concerned that we were under provisioning. And I think that, time is showing that the, we provision to according to what our best estimates were and that those have been relatively accurate, okay? So with the fact that, our main peers over provisioned last year and they impacted, obviously their net income numbers. Our market share in net income last year was almost 20% and that was the highest that we’ve seen ever. Okay. Now it’s close to 10%, this year, but that has, that’s also impacted because the other provisioning that our peers made has helped them in creating less provisions this year, or freeing up certain provisions. If you take, let’s say accumulated net income for 2020 and 2021, our net income market share is close to 16%. Okay. So just to give you some numbers in terms of how difficult is to compare, a net income ROEs in this pandemic era, okay? But I think that probably your question has to do more with our medium to long-term objective. And definitely, one of the critical reasons for us presenting to our largest shareholder and to our Board of Directors, an investment, and strategic plan back in 2016 was to increase our profitability. We used to have an average profitability, very, very similar to what the system has. And our goal is to be above the market and close the gap to the leading peers in profitability. I think that with a normalized economy. With interest rates slightly higher than the ones that we currently have. Our goal should be to have ROEs close to 17%, 18%, okay? In prior years, we mentioned that we were aiming at ROE is close to 20%. I think that if interest rates are slightly higher than the ones that we currently have, that could be achievable. Now, if we are successful in developing a strong value proposition for low income individuals in Mexico. I think that profitability around 20% should be our goal, but this is not something that will happen over the next two to three years. I think that’s more a long-term objective. Okay. 
Yuri Fernandes: No. Super clear, I guess the point was like in 2018, 2019, you had 16 ROEs, but rates were much higher, but the bank was still in this transition, right? And you’re still investing – doing the best investment mode, the number of loyal clients were smaller. So maybe now with rates moving up, we could start to see, the, I’ll not say the ROE, because the leverage also matters, right? Like the limitation of dividends, but your ROE, maybe at least going back to the levels we used to see in 2018, 2019, right.
Didier Mena: Absolutely
Yuri Fernandes: Okay. Thank you very much.
Didier Mena: You’re welcome, Yuri.
Operator: The question comes from Carlos Gomez with HSBC. Please go ahead.
Carlos Gomez: Hello. Thank you for the call. I have three pretty brief questions. The first one is, if you could comment on your holdings of securities? We have seen them go down. I think that now it’s 700 million. That shows – I mean, that is perhaps the natural contraction after the crisis. But the way that you see that going forward. And second if you could comment on your low tax rate – it was managed that very well, in the past it was rebound. Or is it because of inflation right now? And what should we expect for this year? What tax rate is reasonable to expect for 2021. And finally we have seen the numbers for COVID go up fortunately, on the infections, not so much debt so far but do you have this expectation that at some point that might affect economic activity and perhaps even your results? Thank you so much.
Didier Mena: Yes. Hi, Carlos and in terms of investing in securities portfolio, I think that the likely before the pandemic when, interest rates start coming down, we increased our portfolio precisely to protect our net interest income. So the percentage of, let’s say the contribution of investment in securities to yielding assets, was reached close to 35%, 36% over the last few quarters. And now it’s at 32%, when we have seen it close to 27%, 28%. I think that with the potential increase in interest rates, certain securities that mature, will almost likely will not – will do something different. Okay. So I think that we should go back to, below 30% of contribution of investment in securities to total yielding assets. Okay. Now regarding the tax rate, you’re totally right it’s purely driven by the spike in inflation. At the beginning of the year, we’re expecting inflation to be close to 3%. And now, roughly speaking is close to 6%, the average of the most. So it’s basically because of that and we think that, tax rates should be, I would say probably around 20% to 23% for this year, okay? Now regarding COVID, let me share with you some numbers, you obviously have access to the country’s data. But I think that, the numbers that we’re seeing in Santander Mexico are quite revealing, I would say in terms of the trend of increases in the, inactive cases. First, let me, we share some data with the leading peers and I’m proud to say that, we have been able to manage the pandemic, more effectively than some of our peers; we have, probably around 20%, less cases than the average of our peers So it’s been quite effective. So numbers that I’m going to give was probably scare you a little bit for giving you these contexts. I think it’s important; it was about let’s say eight weeks ago. The number of active cases in our employees was close to 16 but it was 16 actually. And now is close to 109, okay. In eight weeks. So it’s almost 12 times, what we used to have. Okay. Now but we’re seeing, not only in the case of our employees, but also in the government data is that this increase in cases has not translated into an increase or a one-to-one increases in hospitalizations and also in the number of beds. So vaccines are working what we’re seeing is young people getting infected that are still not vaccinated most of them. But the committee is less severe for young individuals than for elderly people. We’re seeing in some of our employees, that they, they get the virus even having one or two doses of the vaccine. The vaccine has been effective in, the virus not being that severe, in those cases. Now the attitude that the – we’re obviously being very cautious, the looking at the data just to see whether it makes sense or not to continue, these, strategy of bringing all employees back to, to corporate, as you can imagine, branches have operated continuously throughout the pandemic. Currently, we are like close to 15% of the employees that work at the corporate’s that are working at the office. We were planning on having, let’s say a second phase that would increase that to 30%, but given these data, we made a pause and we will be looking at it, what is reassuring at least in how we’re handling the pandemic is that contagions or not happening at the office are happening, in our employees that are working from home that clearly, make the case that they, they are having, they are going to, social gatherings and that’s, how they are getting infected. Okay. So we don’t expect the information as of today, because these purely could change. We don’t expect significant restrictions being imposed if it continues. I think that the government has been very clear. They are even aiming at bringing kids back to school in a month. So, I don’t think that the economic activity should be that impacted, if this third wave continues as it is. Okay?
Carlos Gomez: Very clear. Thank you so much.
Operator: Thank you. There are no further questions. I’d like to turn the floor back to Mr. Héctor Chávez for any closing comments.
Héctor Chávez: Yes, sorry. Yes, thank you, Operator. Thanks, everyone for once again, for joining Santander Mexico on this call. As always, we wish to maintain an open dialogue with you in the financial community. So if you have any additional questions, please don’t hesitate to call or e-mail us directly. Until our next earnings call, please stay safe.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you again for your participation.